Richard Friedland: Good morning, everyone, and a very warm welcome to Netcare Limited's presentation of the audited group results for the year ended 30th of September 2025. A special word of welcome to our Chair, Alex Maditse, members of the Netcare Board, our ExCo, and our senior management teams. Let me, at the outset, also express my sincere thanks to all of our management teams and Netcare staff across all of our divisions for their incredibly hard work, collective efforts and commitment over the past year. And also my personal thanks to our Board members for their support and sage guidance. I will begin with an overview of the group performance as well as that of the operating divisions, before handing over to our Chief Financial Officer, Keith Gibson, who will unpack our financial results in more detail. I will then conclude by providing more detail on the progress we have made on rolling out our strategy and also present our outlook and guidance for the 2026 financial year. Just a quick reminder of the comprehensive and growing array of facilities and services we provide within the Netcare ecosystem across 10 unique divisions. Of course, the most important aspect and most valuable asset there are our people within the Netcare family, more than 18,000 full-time employed health care professionals and health care workers, and that excludes or should also exclude our contracted workers, more than 7,000 caterers, cleaners and security staff. Looking now at our overall performance. Despite a very challenging macroeconomic environment, Netcare has produced a strong financial performance, achieving excellent traction on our strategic projects. This performance was characterized by a robust financial performance with all in-year strategic objectives achieved, strong operating leverage supported by what we have defined as the group's growing digital dividend and also reduced strategic costs. We maintained a strong financial position with an improved ROIC of 12.6% and a cash conversion of 111.3%. In line with our capital allocation policies, we have returned ZAR 1.8 billion to shareholders through ordinary dividends and share buybacks in this past financial year. Our digital data and AI strategy continues to gain momentum and is truly transforming our delivery of quality care with now 92 publicly reported quality outcomes and 29 peer-reviewed publications this past year. Our advanced digital and analytic capabilities continue to unlock value with ZAR 587 million of cumulative CareOn savings and cost avoidance achieved since 2022. Phase 2 of our environmental sustainability strategy is on track to meet our 2030 targets and pleasingly, potentially ahead of schedule. And this solid operational performance translated into our strong financial metrics and ongoing operating leverage. And so turning to the numbers. The strong financial performance can be seen across all our key metrics when compared to last year. Revenue for the full year rose by 4.5% to ZAR 26.3 billion, and we continue to achieve good operating leverage as evidenced by the 8.4% increase in EBITDA to ZAR 4.9 billion. Our EBITDA margin increased by 60 basis points to 18.6%. Adjusted headline earnings per share rose by 20.7% to ZAR 1.372. Despite the significant share buyback program, our net debt-to-EBITDA ratio strengthened to 1.1x versus 1.2x last year. And finally, as a result of the improved performance, we are pleased to declare a final dividend of ZAR 0.49 per share, which, together with the interim dividend, amounts to a total distribution of ZAR 0.85 for the year, which is 21.4% higher than last year and represents 62% of adjusted headline earnings per share. Let's now unpack the operational performance of our respective divisions in more detail. This slide demonstrates our activity and occupancy in the hospitals and emergency services. Total patient days grew by 0.7% year-on-year with the Hospital division growing by 0.8% and Akeso by 0.5%. Average full week occupancies improved to 65% in the acute hospitals and remained steady at 70.3% in our mental health facilities. Let's now examine the financial results of the Hospital and Emergency Services in more detail. Revenue grew by 4.9% to ZAR 25.7 billion and EBITDA by 8.8% to ZAR 4.8 billion. Operating profit rose by 11.5% to ZAR 3.5 billion, demonstrating an outstanding operating leverage of more than 2.3x. Acute hospital revenue per paid patient day increased by 4%, reflecting higher volume growth from lower cost network options and data-driven clinical cost efficiencies passed on to medical schemes. Surgical cases continued to contribute more than 70% of revenue despite the out-migration of lower-margin surgical cases. Pleasingly, we also experienced a 4% increase in births, supported by a recently launched Birthwise offering, as well as an increased number of specialists. Overall EBITDA margin for the segment rose by 70 basis points to 18.5% versus 17.8% in the 2024 financial year. As outlined on this slide, this expansion was underpinned by digital efficiencies, stringent cost management and lower strategic costs. EBITDA margin for the Hospital and Pharmacy subsegment was up 20 basis points to 18.8% versus an 18.6% margin in the 2024 financial year. We've grown our specialist base by granting admitting privileges in acute and mental health facilities to a net 117 new specialists. This can largely be attributed to our fully integrated, digitized and data and AI-driven ecosystem, clinical centers of excellence furnished with outstanding equipment and technology, including 4 Level 1 Trauma Society of South Africa accredited trauma facilities and 2 World Stroke Organization accredited stroke centers, a first in Africa and 2 of only 34 such accredited facilities worldwide. Finally, turning to our Primary Care division. Revenue declined by 7% to ZAR 662 million. This was impacted by lower activity and the nonrenewal of a large occupational health contract. However, if normalized for the nonrenewal of this contract, the division experienced an underlying 2.8% growth in revenue. EBITDA margin increased by 150 basis points to 24.5% versus 23% in the 2024 financial year, driven by ongoing operational efficiencies. Our occupational health client base has now been diversified through the addition of several new contracts. And despite the loss of a major contract, we remain optimistic that by leveraging Netcare's digital capability, the division is favorably poised to secure further growth and opportunities. I will now hand over to Keith to unpack our financial performance in more detail.
Keith Gibson: Thank you, Richard, and good morning, ladies and gentlemen. I'll be stepping you through Netcare's financial performance for the year ended 30 September 2025. By way of overview, the business delivered an excellent trading result and maintained its strong financial position during the 2025 financial year. The business was able to expand its EBITDA margin and demonstrate pleasing operational leverage by keeping a tight rein on costs, aided by digitization benefits and lower strategic costs. At the bottom line, the business delivered growth in its adjusted headline earnings per share in excess of 20% from strong operational performance, combined with a lower weighted average number of shares in issue. Netcare's statement of financial position remains in a healthy state with return on invested capital or ROIC demonstrating a 90 basis point improvement to 12.6%, along with an exceptional cash conversion of 111.3% for the year. In line with our capital allocation practices, we continued our share buyback program, which commenced in September 2023. And to date, we have invested ZAR 1.9 billion to repurchase 149 million shares in the market, which represents 10.4% of the total ordinary shares in issue at the end of September 2023. This next slide demonstrates Netcare's consistent track record in delivering meaningful operating leverage while still maintaining a conservative level of gearing. And despite the challenging backdrop of the past 5 years, the graphs illustrate that during FY 2025, the business has converted a 4.5% growth in revenue into 8.4% EBITDA growth and 11.3% growth in operating profits, achieving 2.5x operating leverage. And the graph on the bottom right reflects the group's net debt of just under ZAR 5.5 billion at 30 September 2025. And even after funding the substantial share buybacks in the past 2 years, the group's gearing levels, as measured by the net debt-to-EBITDA metric, remain conservative, improving from 1.2x at the previous year-end to 1.1x at September 2025. Moving on to the group statement of profit or loss for the year ended 30 September 2025. And first, I should point out that to aid comparability, the numbers reflected in this slide exclude the impact of exceptional items, unless otherwise indicated. Revenue for the year amounted to ZAR 26.3 billion compared to ZAR 25.2 billion in the prior year, growing by 4.5%. EBITDA for FY 2025 grew by 8.4% to ZAR 4.9 billion against ZAR 4.5 billion in FY 2024, with EBITDA margin improving by 60 basis points from 18% to 18.6%. Strategic costs for the year amounted to ZAR 60 million, reducing notably from the prior year's ZAR 131 million. The lower incidence of load shedding in the current year required less use of generators and consequently, expenditure on diesel reduced from ZAR 47 million to ZAR 13 million. However, this benefit was mostly offset by further increases in electricity tariffs. And in addition, the business spent ZAR 12 million on emergency water purchases during periods of municipal outage. Operating profit increased by 11.3% to almost ZAR 3.6 billion compared to ZAR 3.2 billion in the prior year. Other net financial expenses of ZAR 555 million were marginally lower than the prior year's ZAR 561 million, reflecting the combination of a lower cost of debt on higher average debt balances over the course of the year. The IFRS 16 interest charge attributable to lease liabilities of ZAR 541 million increased from ZAR 511 million in the prior year. Earnings from associates and joint ventures showed pleasing improvement to ZAR 70 million, driven by the performance of National Renal Care, who experienced strong growth in Renal Dialysis Services. Profit before tax increased by 15.9% to ZAR 2.5 billion. The group's tax charge amounted to ZAR 695 million at an effective rate of 27.5%, which is slightly lower than the prior year. Profit after tax before exceptional items amounted to ZAR 1.8 billion, representing a 16.1% improvement from ZAR 1.6 billion in FY 2024. In the current year, exceptional net costs of ZAR 19 million after tax were recognized as compared to a net ZAR 28 million in FY 2024. The exceptional items relate to impairments of properties and an investment in an associate, offset by a gain on an insurance claim from the fire at the Netcare Pretoria East Hospital. Profit for the year, inclusive of exceptional items, amounted to ZAR 1.8 billion, being 17% higher than the prior year's profit of ZAR 1.5 billion. Next, we'll analyze earnings and returns to shareholders in the form of headline earnings per share, dividends and share buybacks. And as can be seen in the table on the top left of the slide, HEPS amounted to ZAR 1.337 for the year, which is an 18.3% improvement on the ZAR 1.13 reported in FY 2024. Adjusted HEPS, which is the primary measure used by management to assess performance, and strips out exceptional and unsustainable items, amounted to ZAR 1.372 for FY 2025, increasing by 20.7% from the prior year's ZAR 1.137. The Board has resolved to pay a final dividend of ZAR 0.49 per share, which, along with the interim dividend of ZAR 0.36 brings the total dividend for the year to ZAR 0.85 per share. This is an increase of 21.4% year-on-year and equates to 62% of adjusted HEPS. In addition, we continued with our share buyback program, which commenced in September 2023, and the details of this are set out in the table on the top right-hand side of the slide. During the current year, 64.2 million shares were acquired at an average price of ZAR 13.24 per share, amounting to ZAR 855 million. Collectively, since commencement of the share buyback program, the group has repurchased 149 million shares on the market for ZAR 1.9 billion, equating to an average price of ZAR 12.69 per share. And lastly, turning to the table in the bottom right section, we see that between the 2024 final dividend, the 2025 interim dividend and the shares bought back in FY 2025, ZAR 1.8 billion was returned to ordinary shareholders in the current year. And if we add the ZAR 595 million in respect of the 2025 final dividend that is to be paid on the 26th of January 2026, a grand total of ZAR 2.4 billion will have been returned to shareholders. Moving on to the group's statement of financial position. I'll begin with the usual reminder of our capital structure policy, which is to maintain a strong statement of financial position and to retain an investment-grade credit rating, while reducing the cost of capital with a safe level of debt. As at 30 September 2025, total assets amounted to ZAR 29.2 billion, increasing from ZAR 28.4 billion at September 2024. CapEx spend during the year amounted to ZAR 1.6 billion, of which ZAR 288 million relates to expansionary projects and the balance of ZAR 1.3 billion relates to replacement CapEx. Total shareholders' equity remained flat at just under the ZAR 11 billion mark with the benefits of an improved operating performance being offset by ordinary dividend distributions and share buybacks of ZAR 1.8 billion during the year. And finally, since September 2024, the group has experienced an increase of 90 basis points in ROIC to 12.6%. Next, we'll review the group's debt position. Gross debt amounted to ZAR 7.4 billion at 30 September 2025, offset by cash balances of ZAR 1.9 billion. Therefore, net debt totaled ZAR 5.5 billion at the year-end, increasing by ZAR 172 million from September 2024, and remembering that ZAR 1.8 billion was outlaid in the current year in ordinary dividends and share buybacks, along with CapEx of ZAR 1.6 billion. Net debt-to-EBITDA improved slightly to a comfortable 1.1x coverage at September 2025 against 1.2x coverage at September 2024. And for clarity, this metric is calculated on EBITDA measured after the adoption of IFRS 16 against bank debt only. Inclusive of lease liabilities recognized under IFRS 16, net debt-to-EBITDA coverage is 2.3x, improving marginally from 2.4x at September 2024. In line with our policy, we retained our credit rating of AA- for long term and A1+ for short term as published by GCR in February 2025. The cost of debt at the year-end of 8.4% reduced by 70 basis points from 9.1% at September 2024. However, the average cost of debt over the course of the year only reflected a 10 basis point improvement from 9.3% to 9.2%, indicating that the full benefits of the reduction in rates during FY 2025 will reflect in the 2026 results. Currently, approximately 30% of the group's debt is at fixed interest rates, which is achieved with the aid of interest rate swaps. The growing EBITDA resulted in further strengthening of the EBITDA to net interest cover to 4.5x against a comparative cover of 4.3x, while the interest cover metric improved from 3x cover last year to 3.3x cover in FY 2025. And the business continues to generate strong cash flows, which is aided by disciplined working capital management. And lastly, we'll consider our debt facilities. At the year-end, Netcare had cash balances of ZAR 1.9 billion on hand, and we also had committed but undrawn debt facilities of just over ZAR 1 billion, and this gives the group access to collective resources of ZAR 2.9 billion from which to fund our future needs. Our debt tenure reflects a manageable and appropriately staggered maturity profile, noting that there are minimal maturities in FY 2026, and the group, therefore, has sufficient capacity to manage its future operating and capital requirements. And finally, I'd like to convey my appreciation to our finance staff for their considerable efforts in compiling the financial results and related materials. And I'll now hand back to Richard, who will update you on the progress of our key strategic projects and our guidance for the 2026 financial year.
Richard Friedland: Thank you, Keith. Let's now take a closer look at progress across our key strategic initiatives. In this section, I will give a brief recap of Netcare's strategy and then discuss the launch of the next phases, followed by updates on our other strategic initiatives. Just a quick recap of Netcare's strategy. We are 6 years into our 10-year journey, which is aimed at transforming the way we deliver health and care. Our intention is to empower people to become equal and active participants in their own health care, allowing them to take co-responsibility for their health and wellness. To achieve this, we are leveraging off our unique ecosystem of assets and services and utilizing the benefit of digitization, data and AI to the benefit of all of our stakeholders to create what we have termed person-centered health and care that is digitally enabled and data and AI-driven. And through this, we are intentionally committed to creating a sustainable competitive advantage for the group. Just to recap, our strategy has 3 fundamental phases as demonstrated on this slide. As previously indicated, we have largely completed the first phase. There are still elements of this phase which will yield significant additional efficiencies, and I'll elaborate on these later. This has enabled us to embark on the very exciting second and third phases, which are being rolled out coterminously. All of this is also underpinned by adopting a human AI collaborative approach as we embrace all that AI has to offer. Our strategy has enabled us to widen the digital divide between ourselves and our competitors, and importantly, to expand the benefits we derive. And as I mentioned earlier, what we call our expanding digital dividend. So what exactly do we mean by widening the so-called digital divide and expanding our digital dividend. Essentially, we have broken this down into 4 distinct categories: ongoing operational efficiencies, improving consistency and quality of patient care outcomes, increasing person-centered patient, clinician and funder centricity, and increasing our ability to understand and proactively manage risk. And importantly, in this fully digitized environment, we will retain our human touch and adopt automation with a human heart. In terms of ongoing operational efficiencies, since 2022, we've achieved over ZAR 587 million of cash savings and cost avoidance. This has been achieved in the various categories highlighted on this slide. We're currently in the process of digitizing our HR platform and streamlining our administrative and financial processes through robotic process applications and AI agents across all Netcare divisions. This is expected to begin yielding structural efficiencies from H2 of next year and will contribute fully to our overall efficiencies in the 2027 financial year. The table on this slide unpacks the overall costs and benefits of this first phase. We have invested CapEx of ZAR 320 million and incurred ZAR 350 million in implementation costs to make the business digitally enabled. Cash savings and cost avoidance of ZAR 587 million have been achieved since 2022, of which ZAR 256 million was achieved this past financial year. The IRR continues to improve, now producing an IRR of greater than 25% compared to that of 23% we had reported on last year. And as you can see from the graph on the right-hand side, the gray bars represent the implementation costs, which were previously classified as strategic costs, and the blue bars represent the ongoing operational and licensing costs associated with the digital platforms. The solid black line represents the benefits or operational efficiencies we've achieved to date and the dotted gray line plots our original forecast as per our original business plan. As one can clearly see, we've exceeded our own forecasts again this year. We had forecast benefits of ZAR 178 million, but achieved efficiencies of ZAR 256 million. And what is important to emphasize is that these benefits or operational efficiencies represent both actual cash savings and cost avoidance benefits. Turning now to the second element of benefits derived from our digital dividend, that of improving the consistency and quality of patient care outcomes. And just to highlight a few examples, what is so critically important is our ability to audit and accurately measure and manage quality of care versus relying on manually input so-called reported outcomes and adverse incidents. I say that because there is so much noise and debate around the quality of care and outcome metrics, both within the public and private sector. However, we have realized that relying on nurses or doctors to manually record drug administration times or report adverse events and complications most often leads to underreporting and inaccurate representation of the true quantum of these metrics and is hence often more flattering than reality. Only digital reporting, ladies and gentlemen, with a clear audit and time trail is a truly objective assessment of the reality at the bedside. As a result of this, we've significantly reduced adverse drug interactions and prescribing errors through electronic prescribing and accurate recording of the drug administration times. Through AI-driven machine learning, we continue to enhance our ability to detect life-threatening conditions such as sepsis and other conditions several hours prior to onset and therefore, reduce potential morbidity and mortality. And through the analysis of clinical outcomes, we're able to assist clinicians in their rational choice of medications based on both statistically valid outcomes and price. I'm delighted and excited to announce that we will be introducing unique medical-grade wearable devices for all our patients in general wards, maternity, psychiatry and rehabilitation wards. This transformational development commences with an extensive pilot at a flagship facility. The Corsano device made in Geneva, Switzerland by the founders of Frederique Constant brand of watches is FDA certified and has also achieved the European Union CE certification for a full range of clinical parameters. This includes blood pressure, heart rate, oxygen saturation, respiratory rate, skin and core temperature, sleep hygiene, cardiac arrhythmias and atrial fibrillation. The advantages of this wearable device are numerous and include: most importantly, it offers accurate, noninvasive, continuous and proactive patient management rather than the historic intermittent and reactive observation. It will provide our nurses with the ability to identify patient deterioration earlier and intervene and escalate care before the need becomes apparent. It will integrate with our CareOn EMR and be augmented by our AI-driven early warning systems and predictive algorithms, providing clinical decision support and assisting nurses and clinicians with real-time monitoring to provide better and safer care. In terms of increasing person-centered patient centricity and empowering patients to become equal and active partners in their own health, we launched the Netcare app. As you can see from the list of features on this slide, the app is aimed at improving ease of access before treatment whilst in one of our facilities and everywhere in between. Importantly, we've developed, with Microsoft, a large language model AI assistant to help de-jargonize medical records and the summary of the care they received within our facilities. Since the launch of our app more than 2 years ago, over 850,000 people have downloaded it, of which more than 332,000 are active users. Our experience across 45 hospitals over the past 6 years is that our EMRs offer enormous benefits to clinicians. They encourage a multidisciplinary approach and enhanced collaboration between clinicians, allied health professionals, pharmacists and nurses. Our EMRs are mobile and portable and can be accessed away from the bedside and outside the hospital. As a result, they have significantly improved clinicians' work-life balance. With the introduction of our analytics database and AI, we can now work in partnership with our clinicians to further improve patient safety outcomes and reduce the cost of care. And we continue to introduce data and AI-driven digital clinical decision support tools to assist our clinicians on best practice to achieve better outcomes. This slide demonstrates some of the AI, data and analytical tools we are making available to our clinicians to further improve patient care, safety and outcomes. The qSOFA score for early detection of bloodstream infections or sepsis allows for the identification of clinical deterioration using an artificial neural network. It does this by using real-time heart rate, blood pressure, respiration and oxygenation, and is live in CareOn across all ICUs. It was improved in May of this year by the South African Health Regulatory Authority or SAHPRA. We've developed an emergency department conversion rate tool to ensure appropriate admissions into our hospital out of our emergency departments. The model uses age, route of admission and clinical severity to predict admission risk, and we're hoping for SAHPRA approval early in 2026. Acute kidney or renal failure is a very common in-hospital complication and is associated with a high morbidity and high mortality. Therefore, being able to predict and detect this early will substantially improve patient outcomes. We've developed a core machine learning model to predict renal failure and the deep learning artificial neural network will be developed in 2026. I'm delighted to announce that we will also be introducing an AI-driven ambient listening and dictation tool for all our clinicians, allied health professionals, pharmacists and nurses in 2026. This has been developed in-house. AI-enabled transcription captures dictation and conversations to create structured clinical notes. This allows clinicians and nurses to be fully engaged with patients rather than having to focus on typing notes. We are evolving the tool into a full AI clinical assistant that can prepare referral letters, coding, orders and prescriptions. And most importantly, it will substantially reduce admin time, while also improving the quality and completeness of clinical records. Finally, digitization has allowed us to substantially enhance our partnership with funders. Our digital funder portal allows medical schemes 24/7 seamless access to patient records and information needed to approve both the level of care and the length of stay. And importantly, the funder portal reduces the need for on-site funder case managers. Big data enables a structured approach to align clinical outcomes, patient experience and cost efficiency. It allows us to deliver sustainable, high-value care, which underpins alternative reimbursement models, clinical products and value-based contracts in partnership with funders. Turning now briefly to 2 other strategic initiatives. South Africa's private health care sector serves fewer than 1 in 6 citizens, leaving a large unmet need, particularly within the middle market, which comprises 1/3 of all households and over half of total consumer spend. To address this gap, Netcare made a strategic move some years ago to build a financial services platform from scratch, launching Netcare Plus in mid-2021. By integrating multiple financial services licenses, Netcare Plus enables greater access to affordable private health care. Momentum has accelerated meaningfully in the past financial year. Insured lives have grown by 49%, supported by strong corporate and retail channel growth. Netcare Plus' contribution to the broader Netcare ecosystem increased by 87%, demonstrating its ability to influence customer behavior and drive sustained long-term value for the group. In terms of our environmental sustainability program, in Phase 1, we achieved a 39% reduction in energy intensity per bed and ZAR 1.5 billion in cumulative savings and cost avoidance. In terms of our 2025 targets, we've achieved a 14% reduction in water usage compared to the 2024 financial year and an overall reduction of 40% since 2013. We have increased general waste and health care risk waste diverted from landfill to 80% and 31%, respectively, in the past financial year. Our wind power renewable energy initiative remains on track. Our first power purchase agreement covers 6 Eskom supplied facilities. These hospitals are expected to receive up to 100% renewable electricity by September 2026. Negotiations are underway to add 12 municipal-supplied facilities to this agreement. In parallel, we've initiated the deployment of battery storage and advanced energy management systems to enhance grid independence and resilience. For Phase 2 to 2030, our strategy is aligned with the JET IP, and our goals for 2030 remain to reduce Scope 2 emissions to 0, reduce Scope 1 and 2 emissions by a combined 84% to achieve 100% renewable energy utilization and 0 waste to landfill and a 20% reduction in water utilization. Pleasingly, a 28% reduction has already been achieved by 2025 and therefore, having already exceeded this target, it will be revised. Given the significant progress we've made on this important strategic initiative, we may be in a position to achieve our overall 2030 targets as early as 2028. And we're also finally delighted to announce that we've won further global awards for environmental sustainability this year, taking our total to 51 awards. Alongside our commitment to operational quality patient care and financial excellence, we remain equally committed to broadening access to health care and economic participation. This slide demonstrates a few areas of our involvement ranging from supporting health care education and supporting the most vulnerable in our society and broader communities. In terms of health care education, to date, 27 black PhD scholars have been awarded the Professor Bongani Mayosi Netcare Clinical Scholarship. And of these, 17 have already graduated. Ladies and gentlemen, the knock-on multiply effect of this is extraordinary. Nine of these PhD graduates have attained professorships in various clinical specialization fields. The graduates themselves have authored a remarkable 993 peer-reviewed journal publications and 64 book chapters, which have garnered over 92,000 citations. They, in turn, have supervised 193 Masters students and 122 of these have since graduated and a further 46 PhD candidates have been supervised, of which 11 have graduated. In terms of the most vulnerable in our society, who often face the scourge of gender-based violence, we supported more than 16,000 survivors through our network of 37 rape crisis centers. Through the Ncelisa Milk Bank established by Netcare, 269 babies benefited from the breast milk bank at Rahima Moosa Mother and Child Hospital with 47 donors. And in terms of community involvement, the Netcare Foundation broadens access to life-saving procedures for indigent patients, including cataract, cochlear implants and craniofacial procedures. These results would not be possible without our people within the Netcare family, and we are pleased to have gained recognition as a top employee and the health care company that students most want to work for. Finally, turning to our outlook and guidance for the new financial year. We are guiding to patient day growth of between 0.8% to 1.5% for our acute hospitals, and in total, an overall 1.8% to 2.4% growth compared to this past financial year. Our guidance for revenue growth is between 4% and 5% versus that of 2025. The EBITDA margin is expected to benefit from operational efficiencies of a high 2025 base of 18.6%. And finally, we expect to spend ZAR 1.9 billion on CapEx in financial year 2026, including ZAR 566 million on expansionary CapEx. And that colleagues, ladies and gentlemen, concludes the formal presentation of our results. We're now happy to open the webcast to questions. Thank you.
Unknown Executive: Thank you, Richard. Our first question comes from Wealthvest. Well done on the results. Could you provide some color on the Curo acquisition and strategy? Do you see this becoming a meaningful part of the business? And is this margin accretive?
Richard Friedland: Sorry, could you just repeat that?
Unknown Executive: Sure. Well done on the results. Could you provide some color on the Curo acquisition and strategy? And do you see this becoming a meaningful part of the business? Is this margin accretive?
Richard Friedland: Yes. Thank you very much for that question. We're delighted that we've taken a 47% stake in Curo. We're busy bedding down that acquisition and so didn't make an announcement officially, but we'll certainly do so in the coming months. Curo is a leading home care provider -- or provider of home care health, and we are embracing that out-migration towards home care, and we see it as a critical element in our broader strategy. And yes, absolutely will ultimately be accretive to our earnings.
Unknown Executive: Thank you, Richard. We have a question from Bateleur. The 2.5x operating leverage was impressive. As you look ahead to next year, with further margin expansion guided, how is management thinking about what can be achieved, especially given strategic investment benefits continue to exceed expectations?
Keith Gibson: Yes. Thanks for the question. Yes, the operating leverage, looking backwards, is something we're very proud of achieving in a very difficult environment. I think from a forward-looking perspective, as we have indicated, we believe that we will be able to expand our margins next year. But I think, we just have to bear in mind that there are positive and negative factors within the environment, and we do have to absorb factors such as the growing proportion of cases that we see coming from discounted network options as an example. But yes, we do see further legs on our strategic projects. And yes, we're very grateful to have them.
Unknown Executive: Thank you, Keith. Another question for you from Truffle. Please can you elaborate on the ZAR 566 million expansion CapEx? And why was your depreciation so low, especially in the second half?
Keith Gibson: Yes. Thanks for the question. So we have quite a number of projects in the 2026 financial year. Just to call out a few of those, we have the new Akeso facility in Montana. We are putting in quite a number of hospital new beds and conversion beds. And we're also replacing a LINAC machine at one of our cancer care centers as well as investing further in the Akeso Alberlito and Polokwane facilities and building out a new sub-acute within primary care.
Unknown Executive: Thank you, Keith. Another one for you from Truffle. Why do you indicate that the FY '25 base is high? Any abnormal benefits in 2025, or any changes expected in 2026? I think you did cover some of those in the first question.
Keith Gibson: Thanks. Yes. I think I did touch on that briefly in the previous question. I guess it's really just to indicate that the market remains extremely difficult and that there are a number of headwinds that we battle each year. Notwithstanding that, we're grateful for the benefits that we have from our strategic investments.
Unknown Executive: Thank you. There are no further questions. I'll hand over to Richard just for some closing comments.
Richard Friedland: Thank you very, very much, colleagues, ladies and gentlemen, for affording us your time this morning, and we remain available to take any questions, clarifications or queries you might have. Thank you very much.